Operator: Welcome to the Titan Machinery, Inc. fourth quarter and full year fiscal 2009 conference call on April 16, 2009. (Operator Instructions) I would now like to turn the conference over to John Mills, Senior Managing Director ICR.
John Mills: Good morning ladies and gentlemen and welcome to Titan Machinery’s fourth quarter conference call. On the call today from the company are David Meyer, Chairman and Chief Executive Officer and Peter Christianson, President and Chief Financial Officer. By now everyone should have access to the earnings release for the fiscal fourth quarter ending January 31, 2009 which went out this morning at approximately 6 am Eastern Time. If you have not received the release, it is available on the Investor Relations portion of Titan’s website at www.titanmachinery.com. This call is being webcast and a replay will be available on the company’s website as well. In addition, we are providing a slide presentation to accompany today’s prepared remarks. We suggest you access the presentation now by going to Titan’s website and click on the Investor Relations tab and the presentation is directly below the webcast information in the middle of the page. Before we begin, we’d like to remind everyone that the prepared remarks contain forward-looking statements and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance and therefore undue reliance should not be placed upon them. These statements are based on current expectations of management and involve inherent risk and uncertainties including those identified in the risk factor section of Titan’s most recently filed 10-K and 10-Q. These risk factors contain a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. Titan assumes no obligation to update any forward-looking projections that may be made in today’s release or call. With that, I’d like to turn the call over to the company’s Chairman and CEO, Mr. David Meyer.
David Meyer : Thank you John, good morning everyone and welcome to our fourth quarter and fiscal 2009 year end conference call. On today’s call, I will provide some highlights of our fourth quarter and full year results, discuss some of the recent acquisitions, and provide a general update on our business. Then Peter will review the financial results for the fourth quarter and full year of fiscal 2009 in more detail and provide guidance for fiscal 2010. I will then provide some closing remarks and we’ll open up the call to take questions. As John mentioned to help you follow today’s prepared remarks, we have provided a slide presentation which you can access on the Investor Relations portion of our website at www.titanmachinery.com. If you click on the Investor Relations tab, on the right side of the page, you will see the presentation directly below the webcast in the middle of the page. I will pause for a few minutes to allow you to access the presentation on our website. I am pleased to report strong fourth quarter and full year fiscal 2009 results for Titan Machinery. Slide two gives an overview of our fourth quarter. Revenue for our fourth quarter increased to $189 million, up 40% from the $135 million in the fourth quarter of last year. Our gross profit for the quarter was up approximately 38% to $32 million compared to a gross profit of $24 million in the comparable period last year. Our pre-tax income for the quarter was $5.4 million compared to $1.2 million last year. We achieved earnings per diluted share of $0.18 in the fourth quarter compared to $0.02 per share last year. Fourth quarter of fiscal 2008 results include one time IPO related debt conversion and retirement costs of $3.8 million. Now turning to slide three, looking at our full year results, as we have said in previous calls we evaluate our business on an annual as opposed to a quarterly basis. This is because we evaluate our financial performance based on our customers’ annual production cycles due to weather fluctuations, and the seasonal nature of our business. Revenue can shift from one quarter to another based on a number of external factors including when our customers are buying equipment due to the weather patterns and seasonality, manufacture and pricing and programming, equipment availability, and when our customers decide to have their equipment serviced. This applies to both our agricultural and construction businesses. For full year fiscal 2009 revenue increased 59% to $690 million, up from $433 million in the same period last year. Gross profit increased to $120 million, up from $72 million in fiscal 2008. Our pre-tax income increased over 200% to $30.5 million from $9.3 million last year. And our earnings per share increased 61% to $1.08 for fiscal 2009 compared to $0.67 last year. As you all recall we raised our year end guidance on our third quarter call from the range of $0.89 to $0.94 to the range of $1.07 to $1.11. We are proud of the fact that we met our guidance expectations during a quarter of unprecedented economic adversity. Now turning to slide four, our solid financial performance for fiscal 2009 reflects the two aspects of our growth drivers; organic and acquisition growth. Of the $257 million increase in revenue, $176 million was from acquired business unit growth and the remaining $81 million increase was from organic growth. Peter will give more detail on the organic growth, same store sales, and same store gross profit during his remarks, but I would like to highlight that our full year 2009 same store sales increased [21.5%] due to an historically stronger then normal agricultural sector in 2009. Our reoccurring parts and service revenue contributed 46% of our total gross profit for fiscal 2009. As we have said, our parts and service businesses is very important as it represents a high margin revenue stream that is both predictable and replicable through the cycles. Turning to the second part of our growth driver, acquired business unit growth, both from additional businesses units increased 69% of our total growth for fiscal 2009. Slide five demonstrates our ability to execute on our acquisition growth strategy. Throughout the year we made seven acquisitions consisting of 22 dealerships with historical revenues of $195 million. Turing to slide six we expanded our footprint and grew our brand representation in the Upper Midwest and Western United States. We entered three new states in fiscal 2009, Nebraska, Montana, and Wyoming, and now have 62 dealerships in seven states. We are continuing to do an excellent job integrating our new stores into our existing network and implementing the Titan operating model of offering customers superior service, technical expertise, selection, and value. CNH continues to support our acquisition efforts. Because of our scalable strong store model, solid balance sheet, and proven track record of market performance, we are well positioned for steady and consistent acquisition of Ag and CE dealerships. The fact that we have been able to acquire stores for tangible book value and minimum goodwill, in previously defined and identified markets with a minimum invested capital creates a much more attractive and lower risk opportunity then say a new store opening. In addition, the established customer base, equipment park, and experienced employee group creates an immediate revenue stream. Once we close on our new business unit, we immediately implement the Titan business model which improves overall margins in these locations. It is interesting to note that we recognize immediate synergies and economies of scale along with expanded parts and service support when combining Ag and CE stores located in regional trade centers in mid sized construction equipment markets. We have identified a three to five year acquisition pipeline to support 10% to 15% annual acquisition growth. Let me review our most recent acquisitions, in the fourth quarter we completed two acquisitions consisting of 10 stores with historical revenues of $57.5 million. First we acquired Anderson Power and Equipment, with one store in Thief River Falls, Minnesota. This is a farm equipment dealership selling the New Holland and CaseIH brands. Anderson Power and Equipment reported revenues of approximately $8.6 million in the most recently reported fiscal year ending March 31, 2008. This dealership is strategically located between our Crookston, Grand Forks, and Roseau, Minnesota stores. We also acquired Western Plains Machinery Co. and WP Rentals, which consists of nine construction stores in Montana and Wyoming. Western Plains Machinery has Case Construction dealerships in Billings, Great Falls, Missoula, Kalispell, Montana, and Casper and Gillette, Wyoming. WP Rentals has locations in Billings and Belgrade, Montana and Cheyenne, Wyoming. In its most recently reported fiscal year ending December 31, 2007, Western Plains Machinery and WP Rental generated revenues of $48.9 million. These nine locations are contiguous to our existing construction stores in North and South Dakota, Iowa and Nebraska. These new locations provide great synergies for our existing construction equipment stores. During the first quarter of fiscal 2010 we announced that we entered into a definitive agreement to purchase the outstanding shares of Winger Implement, a New Holland brand agriculture dealership in Winger, Minnesota. Winger is strategically located between our Ada, Crookston, and Thief River Falls location on the edge of the River Valley and Northwest Minnesota. This acquisition is expected to close during the first week of May. As shown on slide seven, cash crop receipts which are the key driver of large tractor and [inaudible] sales, are expected to decline from a record of $181 billion in 2008 to $163 billion this year. Though this is almost a 10% decline, cash receipts are still at a very healthy level and are almost 18% higher compared to the last five year average. The year 2008 was an unusually good year for the US Ag industry. Expanded acreage, high yields, and record high crop prices all at the same resulted in record crop cash receipts. Ag farm income and thus record farm equipment sales happened in 2008. Even though farmers are becoming a bit cautious due to the deep global recession, they have excellent balance sheets. There are virtually no issues with the availability of financing for Ag equipment so we expect another solid year due to the solid farm fundamentals. Now turning to slide eight, US housing starts have declined from a record of over two million units in early 2005 to almost half a million units now, which is almost a 75% decline. The result has been collapsed construction equipment sales for the last two years. Even though Global Insight, the leading economic research firm in the US is forecasting a gradual recovery of housing starts beginning in the second half of this year, we don’t see a pick up of construction equipment until next year due to the lag effect. Additionally funds from the $787 billion stimulus package will not start [folding] in until the fourth quarter of this year. That too is not expected to result in any incremental construction equipment sales until next year. Even then the impact will be relatively small. Fortunately housing markets in the regions in which most of our construction equipment stores are located have not been significantly impacted as compared to the rest of North America. The influence of infrastructure, energy, mining, Ag, and commercial growth in our markets have tempered the effects of the recession on our construction equipment business. We believe we will see some improvement in our construction equipment sales in 2010. As we look at our Ag and seed business in 2009, I would also like to make you aware of the $250,000 first year depreciation allowed for purchases under Section 179 along with the expanded 50% bonus depreciation allowed in the newly enacted American Recovery and Reinvestment Act of 2009. Similar to 2008, this is an excellent incentive for our customers who purchase equipment in the current calendar year. Before I turn the call over to Peter, many of you inquired about the current credit availability and the current credit issues effecting certain sectors of the economy and are also effecting our business. To begin with, retail financing is very good and our customers are not having any problem receiving credit when they desire to finance equipment. In addition to CNH Capital we recently entered into an agreement with a strong regional bank providing two sources of retail financing to our construction equipment customers. With the strongest balance sheets in decades our Ag customers have a number of financing sources aggressively going after their business. CNH Capital continues to provide an array of attractive equipment finance and lease options. In addition the local and regional banks in our markets are very healthy and continue to provide capital for land, operating expenses, and equipment purchases. Another large player in Ag financing is the National Farm Credit System. The National Farm Credit System was established in 1916 to ensure a permanent source of reliable and competitive capital to the agricultural industry. With federally guaranteed funds, St. Paul headquartered Agribank, capitalizes a 15-state network of local farm credit service associations such as Ag Country, Ag Direct, and Ag Star. For generations Farm Credit Association has been an integral part of local communities and a stable financing source for agriculture. In summary Ag financing continues to be well supported by manufacture financing, local banks, regional banks, and farm credit associations. Turning to our wholesale credit, we have a very strong 29 year relationship with CNH Capital and look forward to a continued relationship with them for many years. In addition to CNH, because of our strong balance sheet and the strength of our overall financial structure, we have multiple sources of Floorplan financing available at very competitive rates. We are very comfortable with the credit available to our customers, as well as Titan for fiscal 2010 and beyond. Now I will turn the call over to Peter.
Peter Christianson : Thanks David. Turning to slide nine, our total revenue for the fourth quarter ended January 31, 2009, was $189 million. It was primarily made up of the following three sources. Revenue from equipment sales increased to $153.6 million from $112.5 million in the fourth quarter last year. Our parts sales increased to $20.1 million in the quarter compared to $13.2 million in the same period a year ago. Revenue generated from our services business increased to $11.6 million versus $6.4 million last year. On slide 10, our gross profit for the quarter increased to $32.5 million compared to gross profit of $23.5 million. Gross margins in the current quarter are relatively flat at 17.2% compared to 17.4% in the fourth quarter a year ago. Gross profit from our reoccurring parts and service revenue contributed 40% of overall gross profit for fiscal fourth quarter 2009 compared to 35% in the fourth quarter last year. Our operating expenses as a percent of net sales was 13.8% in the fourth quarter versus 12.8% in the fourth quarter of the prior year. The increase in operating expenses as a percent of revenue was primarily driven by a lower percent of annual revenue occurring in the fourth quarter. Twenty-seven percent of revenue for 2009 occurred in the fourth quarter compared to 31% for the same period last year. This was expected and highlights the reason we suggest to look at our business on an annual basis due to seasonality and changes in purchasing patterns due to weather and other factors. In addition we incurred costs associated with acquisitions in the fourth quarter and higher incentive and commission costs as a result of a higher percentage of annual sales coming from equipment sales. Pre-tax income was $5.4 million or 2.8% of revenue compared to $1.2 million or 0.9% of revenue. Our fiscal 2008 fourth quarter pre-tax income includes one-time IPO related debt conversion and retirement costs of $3.8 million. Net income for the fiscal fourth quarter of 2009 was $3.2 million compared to net income of $0.3 million in the fourth quarter last year. Included in the 2008 results were the aforementioned debt conversion and retirement costs. Earnings per diluted share for fiscal fourth quarter 2009 were $0.18 on approximately 17.9 million shares outstanding compared to $0.02 per share on approximately 10.9 million shares outstanding. The increase in shares outstanding is due to our IPO in December, 2007 and our May, 2009 follow-on offering. Now turning to slide 11 our full fiscal 2009 results, which were driven by a historically stronger then normal agricultural sector in 2009, revenue for fiscal 2009 increased 59% to $690 million from $433 million in the same period last year. Equipment sales were $540.3 million compared to $338.4 million. Parts sales were $95 million compared to $58.7 million and service revenue increased to $44.2 million compared to $27.3 million. Turning to slide 12, gross profit for the fiscal year increased 66.3% to $119.9 million and gross profit margin for 2009 improved to 17.4% compared to 16.6% in the previous year. Our operating expenses as a percentage of net sales were 12.6% in the current fiscal year versus 12.3% in the previous year. The increase in operating expenses is primarily due to the additional costs associated with being a public company and the additional costs of multiple acquisitions. Pre-tax income for fiscal 2009 was $30.5 million for a pre-tax margin of 4.4% compared to $9.3 million or a pre-tax margin of 2.2% for fiscal 2008. Our fiscal 2008 pre-tax income includes one-time IPO related debt conversion and retirement costs of $3.8 million. Net income for fiscal 2009 was $18.1 million or $1.08 per diluted share which is within our guidance range of $1.07 to $1.11 per share. This compares to $5.2 million or $0.67 per diluted share in the same period last year. As David mentioned, we experienced historically stronger then normal organic growth in fiscal 2009. Slide 13 shows our full year same store sales increased 21.5% which reflects the stronger then normal agricultural economy that we experienced throughout fiscal 2009. Our fourth quarter same store sales increased 13.1% reflecting the seasonality we experienced in our business on a quarterly basis. Based on the different margin levels of our revenue stream, we believe the best metric to measure our organic growth is same store gross profit. For the full year of fiscal 2009 our same store gross profit improved 27.8% to $79 million from $61.8 million in fiscal 2008 and for the fourth quarter our same store gross profit improved 12.5% year over year to $25.1 million, up from $22.3 million in the fourth quarter of fiscal 2008. For modeling purposes its worth noting that 25 locations are not included in our fourth quarter same store analysis and 32 dealerships are not included in our same store analysis for the full fiscal year 2009. We calculate same store sales by including stores which were with Titan for the entire period which we are comparing to. So only the stores which were part of Titan for the entire three months and the entire 12 months of fiscal 2008 are the ones which are included in our same store comparison. On slide 14 we give an overview of our balance sheet highlights. We continue to have a strong balance sheet with cash, cash equivalents, and US Treasury Bills of approximately $86 million to pursue future acquisitions and fund working capital and general corporate purposes. Our inventories totaled $241 million at the end of fiscal 2009 compared to $146 million at the end of our last fiscal year. Our inventory level is now at on a more normal basis which we are historically used to. We are very comfortable with our current inventory level and believe our inventory is at the right level to support our current business outlook in fiscal 2010. Working capital at the end of fiscal 2009 was $135 million. As of January 31, 2009 the company had $138 million available of its $350 million total Floorplan lines of credit. Additionally the company maintained a $25 million operating line of credit with [$24.75] million available. Long-term debt including current maturities was $22.4 million at the end of fiscal 2009. On slide 15 we turn to our fiscal 2010 outlook. As a reminder our policy on guidance is that we give annual revenue and earnings per share guidance on our fourth quarter call and update if necessary in subsequent quarters. Our revenue outlook for fiscal 2010 is a range of $750 million to $790 million. We anticipate achieving net income between $16.6 million and $18.7 million and earnings per share between $0.92 and $1.04. Weighted average diluted shares outstanding used for calculating fiscal 2010 earnings per share guidance will increase 7.1% to 18 million shares compared to 16.8 million shares in fiscal 2009. We are confident we can continue to deliver on the operating model we presented at our IPO and our follow-on offering as demonstrated on slide 16. As you can see we experienced a spectacular year in fiscal 2009 due to the record setting Ag economy. Fiscal 2010 guidance is in line with our long-term projections growing the business through organic and acquired business unit growth. Because we are few weeks from the end of our fiscal 2010 first quarter, we also wanted to provide some color on this period. It is important to recognize the seasonality in our business. Slide 17 illustrates the seasonality of fiscal 2009 versus that of the prior two years’ average. As we stated on last year’s first quarter conference call it is important to note for modeling purposes that last year’s first quarter benefited from a number of factors compared to a more normalized first quarter. The first quarter of fiscal 2010 is more in line with historical patterns and our internal expectations. But we would expect first quarter revenues and earnings to be below our second quarter results. Having been in the business for over 25 years and understanding the potential quarterly changes, this is a great example of why we always point out that it is important to evaluate our business on an annual basis as opposed to a quarterly basis. Now I’d like to turn the call back over to David for closing comments.
David Meyer : Thanks Peter, we were very pleased with our full year and fiscal 2009 results and believe it is a testament to our strong operating model and growth objectives. In 2010 we will remain keenly focused on the opportunity ahead and work diligently to achieve our full potential and maximize long-term shareholder value. Before we take your questions, I’d like to conclude by thanking our employees for all their hard work and thank our valued customers for their continued support. We are now ready for the question-and-answer period of the call.
Operator: (Operator Instructions) Your first question comes from the line of Rick Nelson – Stephens Inc.
Rick Nelson – Stephens Inc.: I’d like to get some more insight if I could into gross margin decline in the quarter and the SG&A rise in the fourth quarter.
Peter Christianson : Looking at the gross margin, I think you’re looking somewhat at the, you’re talking to the fourth quarter?
Rick Nelson – Stephens Inc.: Yes, the year over year decline through the nine months, we have been tracking higher year over year and fourth quarter we did see a decline.
Peter Christianson : Yes, we went from 17.4% to 17.2% and that’s partly on our mix of our equipment sales and it also has to do with some marketing programs that we got last year in the fourth quarter that we realized. Last year our revenue was stronger in our fourth quarter relative to the quarter before.
Rick Nelson – Stephens Inc.: Then the SG&A to gross profit or SG&A to revenue a rise there, what was the driver.
Peter Christianson : Our difference in our SG&A, part of that is that we are completing our Sarbanes-Oxley compliance and there are a lot of different legal costs and costs associated with being a publicly traded company. And in addition to that we did some big acquisitions in our fourth quarter and there are additional costs associated with doing those acquisitions.
Rick Nelson – Stephens Inc.: And your expectation for revenue, I’m wondering if you could provide us your same store sales estimate and how much acquisition revenue are you baking into the revenue guidance.
Peter Christianson : Looking at our same store sales, normally we have modeled 5% same store sales growth, but based on last year being such a spectacular year that was when I referred to that slide in my presentation in looking at the net income growth, what we did this year when we were modeling is we modeled a 10% negative on our same store sales and that was bringing us back in line with what we had looked at, if you look at that graph, it would show based on our historical revenue and net income, if we look back to last year what we were originally were forecasting and put that in relationship to where we’re at this year, then we’re more in line with that positive same store sales on a consistent year over year basis. Last year we feel was an exceptional year in the Ag economy and we think that our projections for our revenue outlook this year are in line with the industry. And we don’t break out the acquisition revenue component on our outlook guidance and basically that has a lot to do because of the variability with the timing on acquisitions in the current year.
Rick Nelson – Stephens Inc.: But so I understand, you’re forecasting corporate at 10% decline.
Peter Christianson : Yes on same store sales over fiscal year 2009. Now if you compare it, if you go back and look at where we started at, going back from 2008 and then looking at a normal year in 2009, then it follows on the line that I put on slide number 16 which is basically growing on about a 5% same store sales on a year over year, on a continuous basis. But last year, again, was an exceptionally strong year and we did not feel comfortable modeling it on a positive same store sales coming off of last year’s revenue.
Rick Nelson – Stephens Inc.: You do have acquisitions in your guidance or you do not, in the revenue guidance.
Peter Christianson : Yes, we do have acquisitions as a component in our revenue guidance.
Rick Nelson – Stephens Inc.: On the Floorplan line which I know is up for renewal in August, what are your thoughts there and what sort of rates should we be looking for.
Peter Christianson : Our Floorplan line, we have an agreement through August and after that right now we are looking at all of our different sources. We have multiple sources available to us. This is an area where our strong balance sheet is very supportive of us and we look at, you know, rates will go up some and we have included that in our numbers with our guidance when we look at what our earnings per share are and the last half of the year we will see some change in our cost of funds for Floorplan financing but not a material relative to our overall operation of our company. One thing that’s important to remember is that we do have a high percentage of the inventory financing that has zero percent financing which is real traditional with the industry that we operate in.
Operator: Your next question comes from the line of Robert Evans - Craig-Hallum Capital
Robert Evans - Craig-Hallum Capital : Can you comment a little bit more on the health of your dealers right now, inventory levels, and what you’re seeing out there from an industry standpoint.
David Meyer : Right now if you look at the industry numbers, if you look at February and March’s industry numbers, you’re seeing some pretty strength I think from the industry right now. As we said here, if you look at the last five year average, we’re above the last five year average, so really these growers are sitting in good shape. There’s a lot of deliveries happening in the first quarter that were the result of presold business last fourth quarter that was carried over and being shipped this year and our inventories are in line right now with our forecasted revenue numbers for the rest of the year and we stated our inventory here so we can basically hit our revenue guidance through the rest of the year. We’re really managing our inventory as far as keeping our turns at the level that we think, where our objectives are as far as our turns are concerned. We’re really taking a look at any over age of our inventory and putting an extra focus and making sure that all of our inventory is current. I’d say that’s probably one of our, if you take where our primary attention is being put, [all the story right now] its in inventory management and I think we’re sitting in good shape and we want to keep it this year that way through the balance of the year. We’re seeing used equipment values maintained and are very steady right now and there’s a good demand for used equipment so we think we’re in good shape and good healthy action. The stores, we’ve talked to all our sales people over the last two, three weeks. We’re seeing good activity in stores, we’re seeing good sales, we’re seeing a lot of interest in equipment so we think things are in good shape. We’re seeing some good business on the construction side too going on throughout all our markets.
Robert Evans - Craig-Hallum Capital : Can you give a sense of how you view your construction business this year, say versus last year. Would you expect it to be flattish, slightly down.
David Meyer : We think this business actually bottomed out last year and like I say, our markets are a little bit tempered. We think its going to be flat this year but we think its in a good position. That’s why we did make the acquisitions as a construction [story] we did that because we thought that the timing was perfect and as we start seeing through the later part of this year and into next year, when some of this stimulus money starting to hit the ground, and the general cycle starts to upward trend, we think we’re in a great position in the construction business.
Robert Evans - Craig-Hallum Capital : To clarify on your same store sales, I think you said down 10% in your upcoming guidance, is that across the board or equipment only?
Peter Christianson : That’s the average across the board on our total revenue for the stores. We haven’t been breaking out between the equipment and the parts and service cycles, but that’s the total.
Robert Evans - Craig-Hallum Capital : I assume given that the equipment side would be down a little bit more and the other, the parts service business would be down less to average to the 10.
Peter Christianson : Well one way to look at that is that, with what we’ve always said is that our parts and service business is a lot more stable source of revenue and margins throughout all cycles, so I think you can kind of look at it in that light.
Robert Evans - Craig-Hallum Capital : You had mentioned on the operating expenses for Q4 there was some Sarbanes and some acquisition costs, would you view that more as some non-recurring expense and if so are we talking a million dollars, couple million dollars, or just wondering for a ballpark—
Peter Christianson : Well one thing going back to the fourth quarter expenses, if you, when I was going over the slide presentation, there is something else that I want to mention relative to that and that is the difference in the revenue between the fourth quarter fiscal 2008 and the fourth quarter 2009, in that we had a lower percentage of the revenue this year coming into that for our expenses. But we do have those additional expenses relative to this whole Sarbanes-Oxley and all of the legal and accounting issues that are associated with being a publically traded company.
Robert Evans - Craig-Hallum Capital : I’m just trying to get a sense of if there was, if those expenses are recurring or if there are some things that you spent money on that wouldn’t recur going forward.
Peter Christianson : To give a little color to that, I do see some of those expenses like for instance relative to the SOX project that we’ve been working on, the bills would be less in the future. And I also would point out that in the fourth quarter we did the Western Plains Machine and WP Rental acquisition, that’s a large acquisition, nine locations across two different states and it was a big deal and there were some costs associated with us because of that being a bigger acquisition.
Robert Evans - Craig-Hallum Capital : Acquisition pipeline, can you give us a sense of how active and kind of what that looks like.
David Meyer : There’s been no change in that acquisition pipeline. We still have a lot of acquisitions coming at us. I manage a number of them. We have them in a variety of states; big, small sizes. In fact if anything I think that dealers are looking for, you think of these things like age of the dealers, you talk about the sophistication, you look at the lack of succession, and a lot of people are seeing the [track record] we’ve done and I’ve talked to other dealers that have become a part of that Titan team as succession solution. So we’re actually probably seeing a little bit more momentum in the acquisition pipeline so I’m real favorable for that to continue not only through this year but in the years to come.
Operator: Your next question comes from the line of Paul Mammola – Sidoti & Company
Paul Mammola – Sidoti & Company : Are you still seeing around 60% of machinery sales coming from the used side or have customers started to offer maybe a little less expensive piece of equipment [are] unused.
Peter Christianson : I think right now we still see things tracking fairly similar to what they have been doing. Within an entire cycle not really any major differentiation from what’s been going on.
Paul Mammola – Sidoti & Company : Have international channels for selling used equipment gotten more difficult from your perspective and does that have an impact on you at all.
Peter Christianson : It did not have any material impact on us. We have done some sales internationally. Very immaterial to our overall revenue and/or margin contribution and the overseas markets have really come to a halt. The access to credit is virtually none and so very, very small part of our business but they definitely have changed in the last six months.
Paul Mammola – Sidoti & Company : Long-term debt ticked up a bit there, can you talk about the use of that cash, was that for one of the acquisitions I assume.
Peter Christianson : Well the long-term debt, the biggest piece of that is that we took on a considerable growth in our rental fleet and that’s essentially an integral part of us being a bigger part of our business into the construction business, you have to have a capitalized rental fleet and when we took that rental fleet on, we don’t break it out by each acquisition but there was a large increase in our rental fleet which will show up under our property, plant, and equipment and basically the primary increase in our long-term debt is because of that increase in rental fleet. We take long-term financing on that.
Paul Mammola – Sidoti & Company : Do you have the operating cash number for the quarter?
Peter Christianson : Yes, its $4 million but when you add back the change in our Floorplan it really comes out to $13 million when you net that out.
Paul Mammola – Sidoti & Company : Was there any business impact from the regional flooding going on over there in the past month or so.
Peter Christianson : Well there’s been some impact yes, I would compare it to in another setting on a different retail business, like if shopping mall, if it was a blizzard before Christmas, you don’t get those days back and in some of these stores that we have that are located in the Red River Valley region, some of the flooding has stopped people literally from being able to travel into our dealerships. But we see that now, the cresting is coming through and it has had some impact but again, we’ve talked to this last year in some different situations in Iowa and things, in that basically we see that usually as a difference in timing where at the end of the day they will all go to the field and plant their crops and need us to give them parts and service support throughout their annual production cycle.
Paul Mammola – Sidoti & Company : Finally, you have been in this business a long time, and the parts and service business is the most profitable piece. Is it customary for a regional player to try and price aggressively in the service department in the event the machinery sales are a little slower, is that something maybe we can anticipate or no.
David Meyer : I think you see pretty consistent margins through all the cycles on both the parts and the service business. You don’t see aggressive pricing going on out there and competitive like that, and you look at the contiguous nature of our stores, you have a Titan store, or a Titan with not a lot of in line competition in between. I’d say you’ve got very consistent margins in both that parts and service area. It’s a pretty sacred margin that this industry doesn’t like to mess with.
Operator: Your next question comes from the line of Chris Weltzer – Robert W. Baird
Chris Weltzer – Robert W. Baird : I’m wondering, we talked about used equipment pricing being solid, can you talk about what you see going on in the new equipment pricing area, whether you see an agent and others starting to offer more programming or more incentives on the financing side and whether the list price cost increases are sticking.
David Meyer : Well I think if you follow-up on the manufacturers, what they saw is that some of their surcharges, some of their steel and so many things that they, you know, fuel, some of the transportation costs, some of these surcharges that we saw get put on the second half of 2008, basically they’re starting to wash through their system so they don’t have those costs any more. So I think what you’ll continue to see is a lot of the businesses getting put into the first quarter of 2009 is a reflect of pre-sells that were done at a certain pricing level in the fourth quarter of 2008 and when you see that type of activity, the manufacturers like to stay consistent with their pricing and not have a big variance from those people that stepped up and did the pre-sell type business. So I think you’re going to see the manufacturers probably reflect some of their savings from some of the steel costs, the fuel cost, and some of the production cost that I think are more favorable in 2009. You may see some of that. But I do not see a radical or a big change. It may take a little bit of the shine off that was there in 2008 but for the most part you’re going to see somewhat of a consistent pricing of programming and but you have to remember, there still is a lot of competition between CaseIH, New Holland, John Deere, [Agco], in this sector so there’ll continue to try to get their share of the business out there.
Chris Weltzer – Robert W. Baird : You talked about construction being flat or you’re expectations for construction being flat, and I take it that’s on an organic basis or a same store basis this year, can you remind us what it was in fiscal 2009.
Peter Christianson : We don’t break out our construction business from our Ag business but if you look at what the industry reports are, the construction industry was down in the calendar year 2008 which is the primary component of our fiscal 2009. Now we did not experience the negative same store sales to the extent at all that the industry as a entire industry across the United States and that’s because of the fact that when we’re in the Midwest region we’re not being effected as much as what the national construction industry is. So we saw it about flat for the fiscal year 2009.
Chris Weltzer – Robert W. Baird : If I could just get your thoughts on working capital next year, I’d assume given that you’re expecting an organic decline in your business, you’d expect maybe inventories to come down a bit by the end of the year and working capital would be a source of cash next year.
Peter Christianson : I think one thing you need to look at and we’re looking at as we model our business is that coming off of fiscal 2009, basically a large percentage of our business is on the agriculture equipment side and on that industry there was such as strong demand, strong economy, that there were actually some shortages so that it was just in time for us to get deliveries where we would pre-sell the equipment inventory and now as we go into fiscal 2010, we’re looking at coming into more of a normal cycle. And with the normal cycle we should see increased availability on our inventory and so I spoke about that in our presentation and one of the things that happens in that situation is that you’ll see that we can get inventory on hand that has some terms, the interest free terms that we’ve spoken about in the past and that puts us into a more traditional inventory cycle then what we were in, in fiscal 2009.
Operator: Your next question comes from the line of Stephen Volkmann – Jefferies & Co.
Stephen Volkmann – Jefferies & Co.: I’m curious about your comments about the overall outlook being organically down 10% or so and I’m trying to figure out whether that’s just kind of prudent kind of thinking on your part or whether that actually reflects for example what we’ve started to see in the spring selling season and perhaps what’s in the order book.
Peter Christianson : We have always looked at our business conservatively when we model for our forecasting purposes and we took into consideration the performance from fiscal 2009 but we also took into consideration the traditional performance that we have seen in our company in the prior years and that was all factored into it. Relative to the order book, there is a certain percentage of business that is driven for the first half of the year that’s basically the delivery of pre-sells that were, the deals were made in the fall of 2008 and so as those deliveries show up, those get reported into the industry numbers and we feel real comfortable with the way that we’ve modeled our year and we like to stay conservative on our business and we like to present things so that we feel like we can deliver on what the expectations are that we put out there.
Stephen Volkmann – Jefferies & Co.: Maybe just a little more directly then, is your spring selling season looking like its down kind of 10%-ish organically or is it sort of further out in the year.
Peter Christianson : In my presentation I gave some color to that and if you look at that slide, looking at our seasonality analysis, slide 17, I think that gives some pretty good color for what we see as this fiscal year 2010 looking at, and looking at it probably on a more of a normal traditional basis.
Operator: Your next question comes from the line of Steve Emerson – Emerson Investment Group
Steve Emerson – Emerson Investment Group: Trying to get a little better feel for the Sarb-Ox spending that might not recur in 2011, how much this year, how much last year, if you can somehow quantify it. Is it in the range of $5 million a year or was it $2 million in January, 2009 year, and then $1 million January, 2010, can you somehow quantify it.
Peter Christianson : I think rather then quantifying it, when we look at our expense and when we look at that in the fourth quarter and we look at it for the full fiscal year of 2009, like I said in our presentation that part of the expense that we incurred for this year was relative to the Sarbanes-Oxley and that won’t be reoccurring because it was our initial implementation of that. We don’t really get into the detail of breaking out exact expenses on a category by category basis but we have completed that SOX implementation and we’ll have some costs associated with that ongoing because of the ongoing certification for that but those costs will be reflected and they are part of our modeling for 2010 and our earnings per share numbers.
Operator: There are no additional questions at this time; I would like to turn it back over to management for any additional or closing comments.
David Meyer : I’d like to remind everyone that we’ll be intending a number of Investor conferences and marketing trips in the next several months and hope to see you at all these events and other then that, we want to thank everybody for being on the call and look forward to working with you through this fiscal year. Thank you and good bye.